Operator: Ladies and gentlemen, thank you for standing by and welcome to the JOYY Incorporated Third Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. After the management's prepared remarks, there will be a question and answer session. I would know like to had the conference over to our host today, Jane Xie, the company's Senior Manager of Investor Relations. Please go ahead, Xie.
Jane Xie: Hello, everyone. Welcome to JOYY Third Quarter 2021 Earnings Conference Call. Joining us today, are Mr. David Xueling Li, Chairman and CEO of JOYY, Ms. Ting Li, our COO, and Mr. Alex Leo, the General Manager of Finance. For today's call, management will first provide a review of the quarter, and then we will conduct a Q&A session. The third quarter, 2021 financial results and webcast of this conference call are available at ir.joy.com.  A replay of this call will also be available on our website in a few hours. Before we continue. I refer you to our safe harbor statement in our earnings press release, which applies to this call, as well, as we will make forward-looking statements. Finally, please note that unless otherwise stated, all figures mentioned during this conference call are in U.S. dollar. I will now turn the call over to our Chairman and CEO, Mr. David Xueling Li. Please go ahead, sir.
David Xueling Li: Hello, everyone. Welcome to our third quarter 2021 earnings call. Despite the increasing uncertainty due to COVID-19, we had another solid quarter as we grow our total quarterly revenues by 21.7% year-over-year to $651 million, while BIGO's revenue increased by 60.1% year-over-year to $569 million. Notably, we attended non-GAAP profitability at the group level for the first time since we deconsolidated YY Live and booked $35.1 million in non-GAAP net profit. This was mainly attributed to BIGO's margin expansion, and improve the operating leverage at the group level. During the quarter, BIGO's non-GAAP net profit expanded to $49.6 million while it's non-GAAP net margin improved from 3.3% to 8.7% in the previous quarter.  The persistence execution of our globalization strategy has enabled us to deliver steady progress across multiple aspects, including: 1. The continued expansion of our global business, 2. Diversify content offering on various product that's nature interest base, the interactive social connections, 3. And better synergy among multiple products that drive steady improvements in profitability at the group level. Next, let me share greater detail on some quarterly updates for each of our core product line. Let's start with Bigo Live.  Despite global economy uncertainties and other challenges, posted by the resurgence of COVID-19, our business demands changes, resilience as we entered the post pandemic era. We've realized live streaming revenue increased by 8.6% year-over-year in the third quarter. Our efforts to cultivate a global diversified content pool has been effective in further expanding the products -- product the reach of Bigo Live. As the BIGO Live's MAU increased by 10.7% year-over-year to $31 million in the quarter. The continued execution of our local lines, the operation strategy, has contributed a gradual buildup in the paying behaviors of our users as a number of pay users increased by 60.1% year-over-year.  We also continued to deliver a robust performance of Bigo Live in multiple regions, in particular, on a year-over-year basis, revenue and the paying user from Europe increased by 50.6% and 26.7% respectively, while revenues and paying users from Southeast Asia and other emerging regions increased by 29.6% and 31.7% respectively. As we expand Bigo Live, its operation, into multiple regions, our revenue mix continued to diversify, awarding reliance on any individual markets. Looking at the development of the global live streaming industry, we believe that the penetration rates for live streaming remains at very low-levels, leaving us with tremendous growth opportunities ahead.  Going forward, we will continue to deepen penetration in multiple key markets, including North America, Europe, Middle East, and Eastern Pacific regions, and dedicate more resources towards the emerging markets as well. In doing so, we will further solidify our leading global market position in the social and entertainment live streaming sector. With regards to our content efforts, in the past few quarters, we have been enlarging our talent pool of content creators and expanding our local live premium content library via various cross industry partnerships, and a series of local lives operational activities. We have focused on a handful of categories, including time entertainment, gaming, and lifestyles, and further expanded our product reach.  For example, for the time entertainment category, the first live past country music competition, Voice of BIGO, wrapped up recently achieving a huge success in Thailand, attracting more than 100,000 people concurrent relievers for its final event. In North America, Bigo Live launched a new channel feature, and attracted many influencers to create their own personal channels on the platform, covering some of the hottest topics and pop culture including Canadian singer, Kreesha Turner's finance channel, same as the host season is channel and American virality star and singer, Farrah Abraham, mental health channel. On the other hand, we've worldwide a platform for those influencers to showcase their talent and creativity. On the other hand, we leverage our influencer to promote content diversification and high-quality engagement on Bigo Live platform. In the gaming category, we partner with 2 mobile games, having which in July further in reaching BIGO Live's gaming content. In France, Bigo Live partner with a popular mobile RPG, Saint Seya KotZ, which was published globally by Gtarcade and hosted a series of incentive events for Bigo Live gaming content creators. Meanwhile, through our cooperation with Garena, we hosted and streaming the Free Fire League, a national level esports tournament in Southeast Asia. As a result, we further enrich our gaming UGC during the quarter.  We are also further expanding our connections while working nearly interactive sectors. In the lifestyle category, we've made our initial Ferrari into e-commerce live streaming in Southeast Asia. In August, we launched the vehicle marketplace channel in Indonesia, Malaysia, and Thailand. And we conducted a controlled [Indiscernible] of the [Indiscernible] shop feature which enable a small group of palette users to complete their purchases through punch out things. With [Indiscernible] our third POD team give them a chance. Well, BIGO Marketplace is still in its infancy, in terms of development, it has the potential to expand our products reach by providing a direct supply. The interactive experience for our users. During the quarter, we continued to introduce innovative products or features on Bigo Live to further improve our user experience.  New features include a future in picture new last streaming modes supporting trial simultaneous streamers for multi-users channel and more. As a result, the number of streamers of multi-users, users [Indiscernible] increased by 2.3% and average duration per live streaming essentially increased by 5.3% sequentially. In addition, we updated BIGO Live's non-real-time content sharing feature, [Indiscernible], and the improved its user engagement further, achieving 6 -- 8.1% sequential increase in average user time spend a [Indiscernible] per postings. Also by optimizing its content, recommendation, algorithm, with more pressure user profiling, we eased Bigo Live user discovery of interested based to content beyond live-streaming rooms increasing its next day user retention rates by 0.5%.  Going forward, we plan to further enrich our localized content offerings. We believe that it will help our users establish more fulfilling inches space to social connections, further expand our products reach, few our user base expansion and automatedly help build drivers inclusive global community. Next, on Likee. In line with our emphasis long-term growth and sustainability, we have been fine tuning Likee's marketing strategy since the fourth quarter of this year. And priority is being our investment on our content and social ecosystem. As a result, Likee's overall MAU experienced some short-term in flow -- short-term flow quotations and declined to $76.8 million. However, we are starting to see a slowdown in the downward chain, especially in the Gulf Suites from the Middle East region.  Therefore, Likee's Live streaming revenue grew further by 58.1% year-over-year, mainly driving by the Middle East region, as revenues from the Middle East increased by 1.5 times year-over-year. In the past quarter our efforts have been centered on identifying, cultivating, and supporting talent content creators to cultivate a friendly and a vibrant content creation community. We launched a series of incentive programs offering both user traffic and other economic rewards to influential content creators with more than 10,000 sense. At the same time, we continued to uncover the most talent content creators through a variety of localized stems, events, and challenge. As a result, the number of satisfied creators increased by 70% -- 17%, sequentially in the third quarter.  As part of the incentive programs, Likee introduced a new product features called SuperLike in Russia and Indonesia, the Middle East, and other regions. with the new feature, users are able to obtain super like as a throw, purchasing, all building in apps commercials, and then rounds it to their favorite preserves and short videos. Essentially, [Indiscernible] enables creators to engage with a large range of the same group in non-real-time manner, stimulating social interactions and adding a diversified monetization true for creators, motivating the production of more premium content. As a result, in Russia, for example, Likee's launch of [Indiscernible] guaranteed a widespread -- garnered a widespread interest from tracers.  And evidence by 7.1% months-to-months increased the number of certified creators joined the Likee community. Looking ahead, with recruitment of increasing number of talented creators, we should be able to augment Likee's reach and dynamic content ecosystem and pave the way towards the revival of its user base expansion. Lastly on HAGO. HAGO's live streaming revenue continued its rapid growth momentum as its revenue grows by 78.7% year-over-year, and its number of paying user increased by 1.5 times. In terms of product development over the last few quarters, we made some strategic change to HAGO's positioning -- transitioning from the interactive platform primarily focused on casual games to audio and video multiplayer's social interaction and entertainment platform.  We made successful -- successive launches of features updates in the past few quarters, including the HAGO 4.0 update with major revamp for its channel feature, focusing on the improvement of multi-user social interactive activities. The virtual family group function and most recently the came out audio live streaming services for mobile games. Those new features, enable user continue making the in -- envelope for entertainment, and interactions needs for our Euro users. Following the series of an adjustment, we have achieved the preliminary transformation in ARPU's traffic structure, driving significant improvements in user interaction.  On a sequential basis, channel penetration rates increased by 4.0%. In the penetration of our virtual family group, function increased by 9.9%. The average duration of voice chatroom increased by 40.3% to 80 minutes, while the penetration risks of team up audio live-streaming service for mobile games increased significantly from 0% to 6.6% or 4.4%. In the future, we will continue to provide users with a more diverse, more clear interactive entertainment experience, and cultivate inches space social entertainment community. All in all during the third quarter, despite the recent volatility in the macro elements and there's a increase the uncertainty during -- due to COVID-19. COVID-19.  Our persistent execution of our globalization strategy help us to achieve substantial programs in multiple fronts. Our efforts of enhancing our diversified and localized content ecosystem have helped the Bigo Live further expand its product reach and user base, while continuing the cultivation of talented content creators and effectively increasing engagement levels in Likee's content community through the combination of improved the synergy among various products to enhance the operation, leverage, and prudent marketing strategy. We have achieved a steady expansion in profitability, for both BIGO segment and for the entire group. Going forward, we will continue to cultivate our local lines, the content, and social ecosystems.  Natural inches space, interactive social connections, and pursuing long-term sustainable growth for our global business. Lastly, in light of the current market condition, on top of the currency, U.S. $200 million, new share purchase plan announced in September 2021, our Board of Directors had just authorized addition share purchased plan, under which the company may purchase up to U.S. $1 billion of our shares till November 2021 to demonstrate our confidence in the company's long-term growth perspective -- prospects. And to reward our shareholders for their long-term support of the company. This concludes my prepared remarks. I will now turn the call to our General Manager on finance, Alex Leo for a more detailed the explanation of our quarterly financial results.
Alex Leo: Thanks, David. Hello, everyone. as JOYY's Financial General Manager, I will talk about the financial results. Since a majority of our revenues and expenses are now denominated in USD, starting from January 1st 2021, we have changed our reporting currency from RMB to U.S. dollar to better illustrate our operational results. Please note that, the financial information and non-GAAP financial information disclosed in our third quarter annual press release is presented on a continuing operations basis. Unless otherwise specifically stated, as the CEO of VAVA Live was substantially completed on February 8, 2021, with certain customary matters to be completed in the near future. The historical financial results of VAVA Live are reflected in the company's consolidated financial statements as discontinued operations accordingly, starting from the fourth quarter of 2020.  During the third quarter of 2021, despite the recent volatility in the macro environment and increased uncertainty due to COVID-19, we continued to deliver promoting financial results. Our total net revenues for the third quarter increased by 21.7% year-over-year, to $650.5 million, from $534.4 million in the same period 2020, primarily attributable to the continued paying users growth of BIGO. In particular, our live streaming revenues for the third quarter increased by 19.7% year-over-year to $612.2 million. And other revenues in the third quarter, increased by 66.8% to $38.4 million. Through the combination of improved synergy among multiple products, enhanced operating leverage, and prudent marketing strategy, we have achieved a steady expansion in profitability for both BIGO segment and for their entire group.  Cost of revenues for the third quarter increased by 16.1% year-over-year to $439.8 million. Revenue sharing fees and content costs increased to $290.1 million in the third quarter from $234 million in the same period of 2020, which was in live based segment increase in live streaming revenues. Bandwidth costs decreased to $90 million from $27.6 million in the same period of 2020. Primarily due to the company's improved efficiency and the termination of bandwidth usage for India users after the India government ban of Chinese apps in later June 2020. Partially offset by user base extension upside India.  Gross profit increased by 35.5% year-over-year to $210.8 million. Gross margin in the third quarter of 2021 improved to 32.4% from 29.1% in the same period of 2020. Operating expenses for the third quarter decreased to $208.7 million from $249.4 million in the same period of 2020. Among the operating expenses, sales and marketing expenses decreased to $106.3 million from $134.6 million due to disciplined spending on user acquisition via advertisement for certain products, including Likee and HAGO. and HAGO. Our GAAP operating income for the third quarter was $6.9 million, compared to operating loss of $89.3 million in the same period of 2020.  Operating income budget for the third quarter was 1.1% compared to operating loss margin of 16.7% in the same period of 2020. Our non-GAAP operating income for the third quarter, which excludes share-based compensation expenses, amortization of intangible assets from business acquisitions, as well as, impairment of goodwill and net investments and a gain on the borrow of subsidiary and business, was $31.3 million in the quarter compared to non-GAAP operating loss of USD $39.5 million in the same period of 2020. Our non-GAAP operating income margin For the third quarter was 4.8% compared to non-GAAP operating loss margin of 7.4% in the prior year period.  GAAP Net Income from continuing operations, attributable to controlling inches of JOYY. In the third quarter of 2021 was $7.5 million, compared to net income of USD $91 million in the same period of 2020. Net income margin was 1.22% in the third quarter of 2021 compared to 35.7% in the corresponding period of 2020. Our net income was higher in the same period last year, mainly due to the gain from the partial disposal of equity interest that we are. non-GAAP net income from continuing -- from continuing operations attributable to controlling interest of JOYY was $35.1 million in the third quarter compared to non-GAAP net loss of $36.6 million in the same period of 2020.  Non-GAAP net income margin was 5.4% in the third quarter of 2021, compared to non-GAAP net loss of margin of 5% in the same period of 2020. This means that we have attained non-GAAP profitability at group level for the first time this quarter. Since the consolidated YY Live. Notably, BIGO continued to achieve a positive non-GAAP net income for 3 quarters, as its non-GAAP net income expanded to $49.6 million in the third quarter with non-GAAP net income margin improved to 8.7 from non-GAAP net loss margin of 2.1% in the prior year period. Diluted net Income per ADS in the third quarter of 2021 was $0.07 compared to $2.22 in the same period of 2020. Non-GAAP diluted net income for ADS was $0.02, compared to non-GAAP diluted net loss of $0.33 per ADS in the same period of 2020.  This addition, in accordance with our quarterly dividend plan approved on August 11, 2020, and on November 16, 2020, we will be distributing a dividends of $0.51 per ADS for the third quarter of 2021. This is expected to be paid on December 23, 2021, to shareholders of record as of the close of business on December 10, 2021. Also, we would love to provide an update to our execution of the share repurchase program announced in August 29 -- 2019 and later expanded in May 2020. The Board of Directors has authorized a share repurchase program, in which the company may repurchase up to $300 million of its shares to August 2021. As of September 30th, 2021, such share repurchase program already expired.  The company had almost fully executed this share repurchase program, and repurchased approximately $300 million of its shares. In September 2021, the company announced that its Board of Directors has authorized a new share repurchase plan, in which the company may repurchase up to $20 million of its shares till September 2022. As of September 30th, 2021, the company has repurchased approximately $16.7 million of its shares under this program. Earlier today, our Board of Directors has authorized an additional share repurchase plan and which the company may repurchase up to $1 billion of average shares until November 2022 to demonstrate our confidence in the company's long-term growth prospects, and to reward our shareholders for their long-term support of the company.  As David often mention, we will continue to further expand our global market rates, cultivate our highly engaged user community, and enhance our high-quality content offerings. We will also continue to actively explore other ways to maximize shareholder value. Beginning in the second quarter, we have anticipated some negative impact on users online social entertainment activities from the gradual lift of pandemic-related lockdowns in certain countries. We expect our net revenues for the fourth quarter to be between $652 million and $661 million, representing a year-over-year increase between 14.7% to 16.3% on a constant currency basis, excluding the revenue contribution from Bigo Live in the same period of last year.  We currently have limited visibility surrounding the COVID-19 epidemic's long-term impacts, and geopolitical uncertainties of our business and the markets invades the operate. Therefore, this forecast only reflects our current and preliminary builds on the market and operational conditions which are subject to change. That concludes our prepared remarks. Operator, we would now like to open up the call to questions. Thanks.
Operator: As a reminder, [Operator Instructions] When asking a question, please state your question in Chinese first, then immediately repeat your question in English. Thank you. Your first question comes from the line of Thomas Chong from Jefferies. Please ask your question.
Thomas Chung: [Indiscernible] Thanks management for taking my questions. I have 3 questions. The first question is about the COVID situation and how would that impact the user behavior in terms of the time spent engagement and how that how that actually affects our monetization, and can we talk about by geography, how that impact these metrics? And then my second question is about the Q4 revenue guidance. Can management elaborate a bit more about the trend of different business line? And my third question is about the cost and expense trend. How we should think about it going forward. Thank you.
David Xueling Li: [Foreign Language] [Indiscernible]
Jane Xie: Thank you, Thomas. I will answer your first question. So if you recall last year, we realized very substantial growth in our global business. Our year-over-year growth in many quarters have actually surpassed 100% for multiple quarters. So on top of that, when COVID -- there has been some short-term fluctuation caused by COVID-19. It has put some extra pressure but to realize or maintain such a higher level of growth, continuing in business. So you can see that starting since the second -- at the end of second quarter, we have encountered increased uncertainty due to COVID-19. On the one hand, you'd see some countries gradually lifting up now, then, and there has been negative impact on users online, social entertainment activity.  And on the other hand, with the resurgence of COVID-19 in certain areas, we've seen weaken consumer confidence on the economy, which has negative impact on users paying behavior at these various across different regions as well. We have seen that with our assets to continue to introduce, diversify content, and new product features, which have improved user engagement, we see Bigo Live user time spend and retention rate in key markets have remained stable. But there has been some short-term fluctuation of BIGO's monetization capabilities, such as paying ratio in ARPU in certain regions, such as U.S. and the Middle East. So far, we do have limited visibility into the precise impact related to COVID-19, that's why we have provided a relatively conservative estimate for our Q4 revenue, which implies a year-over-year growth of 14.7% to 16.3% at group level. We will provide further updates once we have data visibility.
David Xueling Li: [Indiscernible]
Alex Leo: [Indiscernible]
Jane Xie: And this is Alex. I will answer your second question. As there would be an increased number of marketing and operating activities in Q4, we expect our content costs and sales and marketing expenses to increase modestly in the fourth quarter, both in terms of absolute amount and expense margin over the third quarter level, resulting in a slight decrease in our gross margin and non-GAAP net margin for BIGO segments in Q4 on a sequential basis. But as you can notice, Bigo has achieved non-GAAP net profit for consecutive of three quarters. So for the full year, we believe that Bigo segment will achieve a low single-digit, non-GAAP net margin. And for year 2022, after a few quarters of marketing spend adjustments to Likee, we have seen some positive preliminary results to the product.  We will continue to observe Likee's user engagement level, retention rate, and content ecosystem progress, and flexibly adjust Likee's marketing spend in the coming year. So overall speaking, we will ensure a steady and balanced growth strategy, balance growth, and profitability of our global business in 2022. And increased investments in sales and marketing activities and further expand our global localized operational team. We expect Bigo segments to achieve steady growth in terms of revenue and will remain profitable in 2022. And in the longer-term, with the group's multiple products gradually moving towards break-even, we believe that the overall profit margin will be gradually increased. Thank you.
Thomas Chung: Thank you.
Operator: Your next question comes from the line of Alex Poon from Morgan Stanley, Please ask your question.
Alex Poon: [Indiscernible] My first question is related to Bigo live and Likee, can management share some of the new features and contents, the user feedback revenue contribution from these features in Q3? And going forward, what new features and content are we looking for to expand into? My second question is related to our deal progress update with Baidu. Thank you very much.
David Xueling Li: [Foreign Language] [Indiscernible] [Foreign Language]
Jane Xie: Thank you, Alex, this is David. I will answer your question. So, both for Bigo live and Likee, we have been trying out new content and new product features in the past few quarters. So in early August I've just mentioned that for Bigo Live, we have beta tested the BIGO Pasar Malam, which is the night market ecommerce live stream channel in Malaysia, and received some preliminary positive user reaction, with average user views per live-streaming session reached a 116 to 200,000 per Likee session. In the response, in late August, we officially launched The BIGO Marketplace channel in Malaysia, Indonesia, and Thailand.  The viewers DAU penetration rate was as high as 25% in certain regions. While BIGO market place is still in its infancy in terms of development, it has the potential to expand our product outreach by providing a diversified interactive experience for our users. We do not charge the merchants any commission at this stage yet. So there would be no contribution to revenue at this stage. In Q4, we will be launching gifting function under our non-real-time content community, the bar feature, to further improve the engagement level of bar feature. And for Likee, as I have just mentioned in my prepared remarks, we introduced a feature called Super Like in Russia, Indonesia, Middle East and also in U.S. in late August.  I've seen Super Likee and the new penetration rate reached 7.7% in the first month, in certain regions. So, as the creators could actually obtain revenue share from Super Likes, we believe that the feature could motivate the production of more premium content and help creative a better engage with their fan groups. So as of today, as there is few limited available, revenue contribution from SuperLike at this stage is very limited and we will continue to monitor our users feedback. And in addition to SuperLike in Q4, we're planning to launch subscription feature under Likee to continue our support for the KOLs and to help them pursue our content creation as a lifelong career.
David Xueling Li: [Indiscernible]
Jane Xie: And as for the pros the update of the YY Live deal, there hasn't been new information since our previous communication. As mentioned in SEC filings that the company released, we have substantially completed the sale of our YY live to Baidu and there are still customer matches in programs. Both sides have agreed to extend the launch update of the proposed transaction to a date mutually agreed upon by the party. So if there is any further updates, we will disclose it when and as required by applicable security laws. Thank you.
Alex Poon: [Indiscernible]
Operator: Your next question comes from the line of Yiwen Zhang from China Renaissance. Please ask your question.
Yiwen Zhang: [Indiscernible] so the first question is regarding Likee marketing, you mentioned principle market strategy can you share more color on this. Does it depend on the landscape or user acquisition cost or other factors? And what's our present rate thoughts on Likee market trend into 2022? And then secondly, can you give us update of the overseas live streaming [Indiscernible] competition landscape? Thank you.
David Xueling Li: [Indiscernible] [Foreign Language]
Jane Xie: First of all, I'd like to separate 2 questions and begin with some thoughts on live streaming first. We've got the impression that the market is actually very concerned about the potential negative impact a live streaming platforms might have from mega social platform with huge traffic. But actually, based on our observation of the Chinese peers and also competitors data. We've seen that for these larger scale social platform, their monetization efficiency by a live streaming is actually very low. It's lower than Bigo Live, and it's lower than their earned advertising business.  That's why you never see for these social platforms to put live streaming business as a priority of growth engine, because they would believe that the efficiency and the ROI is actually lower than them pursuing a advertising driven model. So what we'd love to emphasize here is that for these mega relatively larger scale social platforms, they do not actually compete with our business directly, because that is by nature of priority of their drive -- business growth model. And we believe that we would still be able to obtain a longer-term sustainable growth from our live streaming business.
Alex Leo: [Foreign Language] [Indiscernible]
David Xueling Li: [Indiscernible]
Jane Xie: As for Likee, what I'd like to emphasize is that we've not only adjusted marketing spend of Likee, we've also changed our product strategy as well. You can see that as compared to our competitors; we're actually going through a different direction. We are advertising private traffic, enabling KOLs, celebrities, gaming companies with existing or established fan groups to establish, to attract fan groups onto Likee. And also to be able to monetize their fan group via the platform. If you look at the periods of Super Like it looks like a gifting feature in it 's own, but actually in nature, it's about helping these KOLs, helping these influencers to be able to locate the fan groups who are willing to pay for their content and be able to enable these KOLs and influencers to monetize their fan group.  And the introduction of the new feature subscription is also 1 of the monetization tool that we will provide for these KOLs. So you can see that if you look at our competitors platforms, you can see that a lot of the traffic distribution is prioritizing the public domain, centering, emphasizing the platform's control over traffic, distribution, and diminishing the KOLs and influencer's own personal influence on their fan group. So what we would like to do, is the opposite.  We would like to advocate private traffic, help these users, help these KOLs and influencers to drive their own fan groups -- established fan groups from other products or platforms to Likee, and we -- by providing such diversify monetization tools, including the existing live streaming Super like subscription, and even e-commerce diversified monetization tool box to these [Indiscernible] influences so that we will be able to drive the further growth of Likee. So all in all, you can see that we've launched, you see, a big change to Likee's business model. Where not only the marketing strategy is adjusted, but also, we have to go for a differentiated product strategy which avoids direct competition with other platforms.  So going forward, you'll be able to see that we'll be able to continue to grow Likee's revenue with narrowing loss. And in the future, by continuing centering private traffic domain for these KOLs we'd be able to further empower these KOLs influencers and be able to drive further expansion both for our user base, and monetization level. Thank you.
Operator: I would now like to hand the conference back to the management for closing remarks. Please continue.
Jane Xie: That concludes the end of this call and we look forward to speaking with everyone next quarter. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.